Operator: Greetings, welcome to the MRC Global's Third Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host Monica Broughton, Investor Relations. Thanks you, you may begin.
Monica Broughton: Thank you, and good morning. Welcome to the MRC Global third quarter 2022 earnings conference call and webcast. We appreciate you joining us. On the call today, we have Rob Saltiel, President and CEO; and Kelly Youngblood, Executive Vice President and CFO. There will be a replay of today's call available by webcast on our website, mrcglobal.com, as well as by phone until November 23, 2022. The dial-in information is in yesterday's release. We expect to file our quarterly report on Form 10-Q later today, and it will also be available on our website. Please note that the information reported on this call speaks only as of today, November 9, 2022, and therefore, you are advised that the information may no longer be accurate as of the time of replay. In our call today, we will discuss various non-GAAP measures, including net debt, adjusted gross profit, adjusted gross profit percentage, adjusted SG&A, adjusted EBITDA, adjusted EBITDA margin and adjusted net income. Unless we specifically state otherwise, references in this call to EBITDA refer to adjusted EBITDA. You are encouraged to read our earnings release and securities filings to learn more about our use of these non-GAAP measures and to see a reconciliation of these measures to the related GAAP items, all of which can be found on our website. In addition, the comments made by the management of MRC Global during this call may contain forward-looking statements within the meaning of the United States federal securities laws. These forward-looking statements reflect the current views of the management of MRC Global. However, actual results could differ materially from those expressed today. You are encouraged to read the company's SEC filings for a more in-depth review of the risk factors concerning these forward-looking statements. And now I would like to turn the call over to our CEO, Rob Saltiel.
Rob Saltiel: Thank you, Monica. Good morning, and welcome to everyone joining today's call. I'll begin with a few comments about MRC Global's revenue diversification progress over the past few years, because we believe this is a relevant topic for our shareholders. I will then provide a high level review of our third quarter results, our growth drivers and our positive business outlook before handing off to Kelly for a detailed review of the quarter. I will close with a brief recap before our Q&A session. We have seen a remarkable transformation in our business in recent years as our revenue sources have shifted dramatically to become more diversified and stable. Historically, our company's revenue was derived primarily from traditional oil and gas activity. For example, in 2014, approximately two-thirds of our revenue was driven by our upstream production and midstream pipeline sectors. Today, these two sectors account for less than one-third of our revenue. Gas utility customers now drive the largest components of our revenue at 40% with the remaining portion of 31% being from our DIET sector, which itself is rapidly becoming more diverse. This means that more than 70% of our revenue today is derived independently of the traditional oilfield and is therefore more resilient from swings in commodity prices that cause volatility in oilfield activity and profitability. We believe this point is often overlooked by our traditional investor base and perhaps we are not receiving full credit for the improvements in our revenue risk profile that this diversification brings. In addition, our gas utilities business is primarily driven by safety and integrity projects that are clearly in the public's interest along with enhancements and upgrades to aging infrastructure such as smart meters that improve utility efficiency. As a result, this sector is generally more resistant to economic downturns and has proven over the past decade to be our most stable source of revenue in addition to now being our largest. Clearly, MRC Global has a very different end market and revenue mix today and we believe this revenue diversification allows for meaningful growth across multiple less correlated pathways and that this transformation offers significant value creation potential for our shareholders. Even so, we have achieved this while retaining our position as the leading PVF distributor to upstream and midstream customers. We intend to maintain this leadership position. In fact, we will be in Midland, Texas later this week to celebrate the grand opening of our newest service center that will enhance our ability to serve energy producers operating in the all important Permian Basin. Moving now to our third quarter results, I am very pleased with the sequential increase in revenue of 7% over the second quarter, while driving more of our revenue to the bottom line. We also set new margin percentage records this quarter for adjusted gross profit and adjusted EBITDA, which helped us to generate positive quarterly cash flow during a period of robust revenue growth, a major accomplishment. Generating cash throughout the cycle is one of our primary objectives that I will discuss in more detail later. Drilling down into each sector, the gas utilities business continues to hit new milestones with $359 million of revenue in the third quarter, its highest quarterly revenue to-date growing 14% sequentially. We are currently running 26% ahead of 2021 revenues for this sector and anticipate exceeding $1.2 billion in revenue for the full-year. With a 7% sequential improvement, our DIET sector is now expected to exceed $1 billion in revenue this year. This sector has benefited from numerous energy transition projects, our increasing focus on the chemical space and increased maintenance and turnaround activity at petroleum refineries. This sector is rapidly returning to revenue levels not seen since 2019. Our two traditional energy sectors, upstream production and midstream pipeline each declined slightly in the quarter as several large customer opportunities slipped into the fourth quarter. The exciting news is that our U.S. upstream backlog improved 38% sequentially on strong demand, supporting our expectation of an unseasonably good fourth quarter. We are also anticipating improving prospects for our midstream pipeline sector starting in the first half of 2023. This business typically lags growth in the upstream sector by a few quarters as gathering and processing assets are required after well completions activity. Our international business grew sequentially by 9%, despite the unfavorable impact of weaker foreign currencies that shaved 500 basis points off the increase for the quarter. Our underlying international business is solid as evidenced by a growing backlog in spite of foreign currency headwinds. As a company, we continue to focus on improved efficiency and profitability and I am delighted with our team for delivering adjusted EBITDA margins of 9.1% in the third quarter. This is the highest EBITDA margin ever achieved by MRC Global and it reflects our commitment to deliver improved bottom line results for our shareholders. This outcome was enabled by higher gross margins and continued cost discipline. Our adjusted gross margin of 21.9% in the third quarter was also a company record and an outstanding achievement. Structurally, we are a much leaner organization than we've ever been and we anticipate that our cost control and increasing operating leverage will continue to benefit our financial results in future quarters. Kelly will provide further detail about the drivers of the higher quarterly margins in his remarks. As we look to 2023 and beyond, we believe each of our sectors is underpinned by a compelling growth story both in the near-term and longer term. I want to take a moment to highlight the specific drivers for our future growth. I'll start with our gas utilities business, it’s our largest sector, has long-term durable growth and is a clear differentiator for us. Over the past five years, we have achieved an impressive 10% compound annual growth rate in our revenue. Going forward, we anticipate utility customer budgets to remain healthy and to be largely driven by safety and integrity projects. Because of our strong market position, we are able to deliver purchasing benefits to our customers, while establishing preferential long standing relationships with our key suppliers. During the pandemic, we were able to access gas product supplies when others, including some gas utilities themselves could not. As experts in this space, we were able to offer product alternatives to our customers that were technically equivalent when the preferred brand or product could not be accessed. This kind of performance builds trust. We believe there is ample room to grow this business whether it’d be through expanding our product mix with existing customers or by adding new customers and utility service areas to our existing network. Gas utilities should be a major growth engine for years to come. The second growth area I would like to highlight is the upstream production and midstream pipeline sectors. We believe we are in a multi-year upcycle for our traditional oilfield business, driven by growing energy demand, years of underinvestment in production capacity, and the rebalancing of energy flows stemming from the Russia-Ukraine War that will increase the call on North America and European energy production. Our international upstream business has picked up in response with expanded work opportunities in both the U.K. North Sea and offshore Norway. Upstream production is on track to achieve approximately 30% revenue growth this year. Looking forward, we anticipate that U.S. well completion spending will be increasingly weighted toward the IOCs and larger independent producers. We are highly levered to these customers setting us up for strong performance in the future. A growing upstream business means a growing midstream business as the fundamentals are linked. As production continues to grow, the need for gathering and processing infrastructure and new interstate takeaway capacity increases, which benefits our midstream business. The five year outlook for both our traditional energy sectors is very strong. Our energy transition business, which comprises the fastest growing part of our DIET business sector, continues to shine. Increasing levels of investment are supported by a global focus on climate initiatives, expansion of related government stimulus, and regulatory enactments and advances in technology that improve the affordability of clean energy alternatives. The recent passage of the Inflation Reduction Act provides U.S. players an opportunity to access attractive investment and production tax credits that persist through 2035. The energy transition begins as a project business, whether it’d be a Greenfield development or a Brownfield conversion. We have developed a very strong project execution team that is well versed in the energy transition technologies being utilized and the specific products required for the application. This makes MRC Global the logical partner not only for our end customers, but also for the engineering, procurement and construction companies, who are typically responsible for specifying and purchasing the materials and products required for these projects. In 2022, the reconfiguration of petroleum refineries to process organic and waste feedstocks to produce renewable fuels has comprised the bulk of our Energy Transition revenue. Our Energy Transition backlog includes a wide variety of projects, including the previously announced offshore wind farm in New York. In the medium term, carbon capture is expected to grow in importance with the addressable market reaching $55 billion by 2030 according to Rystad Energy. In addition, an increasing number of hydrogen projects are expected to be approved and funded. We expect to generate approximately $100 million of energy transition revenue this year and we look for this to expand significantly in the coming years. The fourth area I'd like to discuss is the chemical subsector also within our DIET sector. The chemical subsector is a large market with approximately $2.5 billion of annual PBF opportunity. We have a relatively small position in this sector, but we are poised for expansion. About a year ago, we assembled the team with unrivaled chemicals expertise, tasked with identifying opportunities and growing our market share. We are in the beginning stages of market penetration, yet we have seen meaningful traction with new customers. Our chemical subsector revenue has grown 24% versus the third quarter of 2021 and the outlook remains positive, especially in the North America market, which benefits from low feedstock costs. Due to significant opportunity for MRC Global to deliver strong growth in the chemical space as this market expands and we gain market share. And finally, I'd like to discuss the Global LNG market, also part of our DIET sector. Natural gas is a logical transition fuel to a lower carbon future and the U.S. has abundant supplies that can be exported economically and reliably to world markets as LNG. The increased focus on energy security and the displacement of Russian gas will help facilitate growth of LNG production infrastructure in the U.S. and parallel regasification and transmission facilities in consuming markets. Here in the U.S. we are already active in supplying large quantities of PBF to approved LNG projects with orders in our backlog that are expected to deliver next year. We expect multiple LNG projects to gain approval in the U.S. this decade as the U.S. is poised to remain the world's leading LNG producer. Reflecting on my tenure at MRC Global, I believe we have made significant progress in many areas that make us a stronger and more investable company. First, we are driving more of our revenue to the bottom line. We do this by being smart about the markets we pursue and the products and services we provide and by closely managing our costs. Second, we've expanded our project focus and capabilities to complement our traditional MRO strength. This allows us to play a first mover role in the energy transition and to position our company for bigger ticket orders in other areas such as the chemical space. And third, we are expecting to generate positive cash flow from operations this year even as we've grown our revenues by approximately 26% and our gross inventories by $197 million. Improving the efficiency of our working capital allows us to consistently generate cash flow across the cycle, a goal that we have for 2023 and beyond. Generating cash consistently is a prerequisite for a versatile and flexible capital allocation program that allows for greater growth and shareholder returns. We are committed to this and Kelly will cover it further in his prepared remarks. Turning to our outlook for next year, while still preliminary, early indicators are positive and supported by conversations with customers, our solid and growing backlog and our previously discussed growth drivers and business fundamentals. While we plan to provide additional clarity on our fourth quarter earnings call, today we expect 2023 revenue to increase by a double-digit percentage for another year of strong revenue growth. We also are targeting 2023 full-year EBITDA margins to exceed 8% another significant step forward in margin expansion and bottom line profitability for the company. Operating cash flow in 2023 is expected to be substantial as we continue to improve working capital efficiency and convert more EBITDA to cash. Currently, we are targeting over $100 million in operating cash flow in 2023. In summary, we are very optimistic about next year's outlook for MRC Global. Lastly, I want to commend our people who have done such a great job in advancing our business in 2022. Like many companies at times we have been challenged to attract the necessary personnel to support our growth in such a strong and competitive job market. In response, we have developed new channels of recruiting, improved our onboarding and training processes and shared our most highly skilled resources over more locations and geographies. Relentless commitment to customer service is in our DNA and our employees have stepped up to the challenge as they always do. As a result, we continue to retain the trust of our existing customers, while cultivating new ones. And with that, I'll now turn the call over to Kelly.
Kelly Youngblood: Thanks, Rob, and good morning, everyone. My comments today will be focused on sequential comparisons, so unless stated otherwise we are comparing the third quarter of 2022 to the second quarter of 2022. Total sales for the third quarter were $904 million, a 7% sequential increase outperforming our previous expectations. Gas utilities and DIET led to increase as both of these sectors continue to outperform. Gas utilities sales were $359 million in the third quarter, a $45 million or 14% increase as our customers continue to progress on their integrity and meter replacement programs. These integrity programs are vital to the safety and reliability of our customers' gas distribution networks, making the activity in this sector more stable in the event of an economic slowdown. The DIET sector third quarter revenue was $276 million, an increase of $17 million or 7%, driven by the U.S. followed by international. This sector continues to increase driven by growing energy transition work, primarily renewable biofuel projects in the U.S., as well as mining customer spending, refinery and chemical turnaround projects and general maintenance activity. Also, as mentioned by Rob, this business is expected to exceed the $1 billion mark this year, making it our second largest sector behind gas utilities and our highest growth sector so far this year. The upstream production sector revenue for the third quarter was $176 million, a decrease of $2 million or 1%, driven primarily by seasonality in Canada, partially offset by modest increases in the U.S. and international upstream businesses. Our U.S. upstream segment had several customers shift work to the fourth quarter as evidenced by a 38% sequential increase in that backlog suggesting a strong Q4 and a nice start to 2023. Additionally, we believe IOCs and larger independent operators will play a more dominant role in activity next year, which positions us well as we are more highly levered to larger operators as opposed to private operators. Our underlying international upstream business is also positioned well for the coming year and we expect strong growth, despite foreign currency headwinds moderating the activity improvement. Midstream pipeline sales were $93 million in the third quarter, down $4 million or 4%. The revenue in this sector tends to be more irregular, due to less predictable line pipe sales, an example being this quarter with lower revenue caused by the timing of certain projects. The outlook for midstream pipeline moving into 2023 continues to be strong as higher production levels increase the need for more gathering, processing and takeaway infrastructure. Now I will cover sales performance by geographic segment. U.S. revenue was $768 million in the third quarter, a $51 million or 7% increase led by the gas utility sector followed by the DIET and upstream production sectors, which we covered earlier. Canada revenue was $37 million in the third, a $3 million or 8% decline, compared to the second quarter, primarily due to seasonal impacts in the upstream production sector, which we expect to reverse in the fourth quarter. International revenue was $99 million in the third quarter, a 9% increase with DIET and upstream increasing despite $5 million foreign currency headwind. The DIET sector drove the increase due to a chemical project and refinery turnarounds in the U.K. additional project work in the Netherlands, including biofuels, and finally, an increase in New Zealand from project work on a geothermal power facility. Now turning to margins. Adjusted gross profit for the third quarter was $198 million or 21.9% of revenue, a 60 basis point improvement over the second quarter and a sequential event. Compared to a year ago, we were 190 basis points higher as we continue to benefit from higher sales volume to positive impact of inflation, our preferred supplier position and proactive supply chain management. As we have mentioned in previous calls, over the past two years, our line pipe product group has experienced the most significant inflation impact of all of our product groups. This has been a nice tailwind supporting growth in our overall company average margins for both gross profit and EBITDA. Historically, gross margins for line pipe have been dilutive to company gross margins, but due to recent demand increases, inflation and our ability to pass this higher cost onto our customers, gross margins for line pipe have trended much higher than pre-pandemic levels. Going forward, we believe line pipe gross margins will begin to moderate before the coming year will remain elevated, compared to historical levels. Outside of line pipe, the other products we sell have also experienced inflation and contributed to higher margins. However, because these product groups are not considered commoditized, we do not expect a significant deflationary impact in the future. So if we normalize back to pre-pandemic historical levels for line type inflation, it has benefited our quarterly gross margin this year by 50 basis points to 100 basis points varying by quarter. And although gross margins will continue to fluctuate each quarter due to many variables, including line pipe sales, we believe we can continue to generate overall average adjusted gross margins of 21% or higher in the coming quarters. SG&A costs for the third quarter were $120 million or 13.3% of sales, as compared to $120 million or 14.2% of sales in the second quarter. As a percentage of revenue, SG&A improved by 90 basis points sequentially and 160 basis points year-on-year. Absolute SG&A costs remain consistent with the second quarter. And for the full-year, we expect SG&A as a percentage of sales to be approximately 14%. EBITDA for the quarter was $82 million or 9.1%, a 340 basis point improvement over last year and a new MRC Global record for adjusted EBITDA margin. Due to our revenue growth, adjusted gross profit margin improvement and continued cost discipline, we were able to drive more revenue to the bottom line with incremental EBITDA of 20% in the third quarter versus last year, a level elevated from historical averages. Tax expense in the third quarter was $10 million with an effective tax rate of 19%, as compared to $6 million of expense in the second quarter. The difference in the effective rate and the statutory rate is due to unbenefited foreign losses, state income taxes, non-deductible expenses and differing foreign income tax rates. For the quarter, we had net income attributable to common stockholders of $18 million or $0.21 per diluted share and our adjusted net income attributable to common stockholders on an average cost basis. Normalizing for LIFO expense was $36 million or $0.42 per diluted share. We generated $33 million of cash from operations in the third quarter from higher profitability and prudent working capital management. Working capital as a percent of sales was 16.6% in the third quarter, 130 basis points lower than the third quarter of 2021 as we continue to drive efficiencies. We also expect to generate cash in the fourth quarter that should result in net positive cash flow from operations for the full-year, which is a major accomplishment for the company as we have historically consumed cash in years of strong revenue growth. And as Rob mentioned, generating cash consistently going forward in both years of growth and decline is a key initiative of the company. Our total debt outstanding at the end of the quarter was $341 million, a $15 million reduction from the second quarter. And our leverage ratio based on net debt of $312 million was 1.3 times, which is a significant improvement over the last 12-months, when our leverage ratio was 2.3 times. We expect to make further progress when our leverage ratio as our EBITDA continues to grow and we lower our net debt position with expected cash generation during the fourth quarter. We ended the quarter with availability under our ABL facility of $612 million and $29 million of cash for a total liquidity position of $641 million. Now regarding capital allocation priorities, we believe reinvesting in our business to grow our revenues and profitability is most beneficial for our shareholders. A strong balance sheet with lower leverage is also a key priority and essential to gain financial and strategic flexibility, as we consider inorganic opportunities to grow the business in the future. Although this is the plan as of today, this is not static, and we will continue to reevaluate our priorities as time passes, our cash position grows and strategic options become available. In addition to the strong revenue and EBITDA performance, our backlog has continued to increase supporting our positive outlook and the growing momentum in our business. In the third quarter, our backlog grew to $773 million, a 4% increase over the second quarter. Regarding our outlook for the remainder of 2022, we expect revenue in the fourth quarter to decline low to mid single-digits, which is less than our typical historical Q4 seasonality trends. The full-year 2022 EBITDA margins are on track to come in over 200 basis points higher than the average 2021 levels, which implies 2022 EBITDA margins in the upper 7% range. This suggests we will have over $50 million higher EBITDA in 2022 that we generated in 2019 pre-pandemic with about $300 million less revenue, which is evidence of how we have streamlined the company and gained significant efficiencies over the last few years. And with that, I'd like to turn it back over to Rob for closing comments.
Rob Saltiel: Thanks, Kelly. I will summarize a few highlights before opening for Q&A. Our impressive third quarter and year-to-date revenue performance combined with supportive business fundamentals, tangible growth drivers and an expanding backlog has increased our confidence that we will achieve double-digit revenue growth again in 2023. We believe that we are in the early innings of an extended upcycle for MRC Global. Our focus on the bottom line has allowed us to realize peak EBITDA margins on significantly lower revenues. EBITDA margins are expected to increase further as we grow our revenues and we expect to exceed 8% EBITDA margins in 2023. We appreciate the consistent cash generation is a priority for our shareholders and 2022 marks an inflection point for MRC Global. Revenue growth in cash flow from operations can coexist and we are targeting $100 million in operating cash flow in 2023. And with that, we will now take your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question is from Tommy Moll with Stephens. Please proceed.
Tommy Moll: Good morning and thanks for taking my questions.
Rob Saltiel: Hey, good morning, Tommy.
Tommy Moll: Rob, I wanted to start on your gas utilities business. You referenced a couple of times the ability of MRC to deliver when supply has been tight, including for utilities themselves. To what extent has that execution been a catalyst for let's say new customer conversations or additions? And then as a follow on, the homeowner customers for all of these utilities are seeing higher bills themselves. And I wonder if a lot of the pushback there back to the company's curbs the appetite for any of these big projects that you've laid out? Thank you.
Rob Saltiel: Yes. Thanks, Tommy. Well, the gas utilities business as we talked about in our prepared comments continues to be a real differentiator for MRC Global and we continue to hit new highs in terms of revenue and growth for that business. Clearly, our performance during the pandemic when we had particular supply chain challenges around key equipment for our suppliers has really helped our reputation even further as a reliable supplier of products and services for the gas utility space. As I mentioned in our comments, we believe that there is ample room to grow this business further with utilities that we don't serve or we don't serve in all of the service areas where they currently operate. And you're 100% right, the performance that we exhibited through the pandemic when supplies were particularly challenged has helped us with regard to those future discussions with customers that our perspective and we hope to add to our roster going forward. So it certainly has been a big help, I don't know that we can name any particular customers on this call, but a lot of what we've done in growing this business organically is leveraged the reputation that we build on an existing customer base to new customers. And we've talked in the past about those more recent customers that we've added. So this is certainly been an opportunity for us to demonstrate what we can do and for the gas utility customers out there who may be listening to this call we certainly would welcome opportunities to serve you as well. Your comment about higher energy bills, there's no question that consumers are going to be filling a pinch in terms of energy bills going forward, certainly here in the U.S. where we operate. That said, the discussions we're having with customers to-date don't indicate any change in investment plans. Keep in mind so much of what we do is around improving the reliability,, integrity and safety of the existing infrastructure that's in place. And that tends to be fairly inelastic with regard to our customer investment plans. So at this point, our outlook for gas utilities continues to be very bright. It's the largest business that we have and it continues to have a very bright future in terms of growth for MRC Global.
Tommy Moll: Appreciate the context, Rob. Thank you. And shifting gears to the early outlook you provided to 2023, which is helpful. And if I'm reading between the lines here on margins, I noted Kelly's comment about some of the headwinds versus tailwinds on gross profit specifically around the line pipe tailwind that eventually will begin to moderate here in coming quarters. But reading between the lines that I think what we're setting up for is I'd say a flattish adjusted gross margin at least based on what you see today. And if your EBITDA margin is going to be up over eight points next year, then you'd need to deliver some G&A leverage. So if you want to correct the record there, please do so or if I'm right, let's focus on that G&A leverage and just the philosophy or framework for layering in additional cost, while also ensuring to drive that as a percent of sales lower next year? Thank you.
Kelly Youngblood: Yes, Tommy, this is Kelly. I'll jump in on this and Rob may add on. But no, I think you're right. In my prepared remarks, I kind of, drill line in the sand that we believe we can maintain gross margins of that 21% level or better. Certainly, we have been getting the benefit of line pipe inflation, you know, really the last probably 12 to 18 months, that's been at a much higher level than what we saw say pre-pandemic. And we said it's been contributing this year depending on the quarter about 50 basis points to 100 basis points. And so that will start to fall off. When you look at the overall benefit that we've been receiving there, but I do think there's going to be some offsets to that in other product mix, as well as geographical mix that we believe that we can maintain that 21% plus margin. So we're averaging this year. We'll be like you said, kind of, in that same ballpark this year as a full-year average. And so if we're making that 21% plus, it should be at least at kind of a similar level of where we're turning out or where we should end up for this year. On the SG&A side, that's -- you're hitting to the point, which is exactly right. We will average this year about 14% SG&A as a percent of revenue. But for next year if we achieve a double-digit revenue growth, which we've guided to as kind of an early look here. SG&A as a percent of revenue will continue to go down further and instead of averaging 14%, we should certainly have a 13% handle, I think it will be in the low-13% range with a double-digit revenue growth. So you get that incremental fall through absolute SG&A will go up some obviously, but as a percent of revenue will continue to benefit.
Tommy Moll: Thanks, Kelly. I appreciate it and I'll turn it back.
Operator: Our next question is from Ken Newman with KeyBanc. Please proceed.
Ken Newman: Hey, good morning guys. Congrats on the solid quarter.
Rob Saltiel: Thank you.
Kelly Youngblood: Good morning. Thanks.
Rob Saltiel: Thanks, Ken.
Ken Newman: For my first question, Rob or Kelly, I'm curious if you could just contextualize the visibility for the double-digit revenue growth for next year? And specifically, I'm just curious if there's any way you can bucket just how much of that outlook is driven by the backlog visibility versus expectations for pricing benefits, just given some of the actions you've taken this year or if there's anything out there that you're embedding in that from a market share gain perspective as well?
Rob Saltiel: Well, thank you Ken for the question. I think you've sort of answered it for us, because it really does cover a number of different areas that factor into our confidence about double-digit revenue growth. Let's start with the backlog, we continue to quote the growth in our backlog and the strength in that backlog. And obviously, that's business that we booked that we need to bill through delivery of products and services. So obviously, we feel very confident about the ability to convert that into revenue. And as that number grows, obviously, our confidence in the -- in future revenues growth. You mentioned pricing, we spent a lot of time this year trying to get the current level of market pricing into our enterprise agreements. Keep in mind around two-thirds of our revenue is based on contracts we have with larger customers. And in each one of those contracts, there is -- there are reset points on pricing to reflect market conditions. So we continue to make sure that these pricing updates are on time and current with the market. But there's always going to be a delay in terms of the revelation of that in the revenue stream. So the updates that we've made this year will only fully appear on an annual basis next year. So that's certainly a part of it as well. We continue to have discussions with our customers about their outlook for next year, despite some concerns about the overall economy. The sectors in which we operate, all of our customers are indicating confidence in budgets for next year. So that certainly gives us a further perspective there. And then specific to our upstream and midstream business, we're seeing very consistently estimates of 20%-plus CapEx growth in 2023 over 2022. As we've said before, we've got a very strong position in the North American oilfield, we continue to both defend and grow that position, as evidenced by our new service center in Midland. So we really feel good about that upstream and midstream sector. And as I mentioned in our prepared comments, we've seen specific backlog growth in that upstream space. So really it's a combination of all these factors. Normally, we wouldn't give guidance this early, but we felt that based on all the factors that we've talked about here that we could do so with confidence.
Ken Newman: That's very helpful color. From a follow-on to kind of go back onto the margins, year-over-year EBITDA flow through margins have kind of been up in the high teens to low 20% range on 23%-plus revenue growth so far. I think the implied leverage, our flow through margin for the fourth quarter comes off a little bit here probably on the seasonality, as well as some of those line pipe comments you made earlier Kelly? Is this -- how should we think about the flow through margin as we kind of think about the forward growth outlook in 2023 and beyond? Is -- I think that the comments you may, kind of, suggest a low double-digit incremental margin on EBITDA. Is that what you think is the right average operating leverage for the company going forward?
Rob Saltiel: Yes. Ken, it's a great question and it really is a function of what happens with the gross margin story, right. So we've drawn the line in the sand at 21%, we were at 21.9% this quarter. So we're certainly suggesting that we're going to see some decline as the line pipe benefits starts to fall off. As I mentioned earlier though, we think with some of the other product groups and the growth that we're expecting in some of the accretive margin product lines that we'll be able to offset a lot of that line pipe deflation effect. But if we're able to maintain a 21%-plus level on the gross margin side, we get the SG&A fall through, we’re not going to have the 20% level type incremental margins that we are currently posting this quarter, but they're going to moderate down. I think, you know, typically as you probably know if you look at previous cycles in those kind of an average growth market, we kind of range around the mid-teens and that's certainly a goal that we'll continue to target.
Ken Newman: Okay. And then Kelly, just one last quick clarification, sorry if I missed it, but did you highlight what you expect for LIFO expense here in the fourth quarter?
Kelly Youngblood: We did not, but I will tell you, I think year-to-date, we have $50 million of LIFO expense. We're currently estimating another $30 million or so give or take, so a total year effect of around $80 million and that's pretty similar to I think last year we were $77 million something like that. So a very similar range to what we had last year for LIFO expense.
Ken Newman: Very helpful. Thank you.
Rob Saltiel: Yes. Thanks, Ken.
Operator: Our next question is from Nathan Jones with Stifel. Please proceed.
Rob Saltiel: Hello, Nathan?
Operator: Nathan is with us.
Adam Farley: Yes. Hi, can you hear me?
Operator: Yes. Please go ahead.
Adam Farley: Hey, good morning. This is Adam Farley on for Nathan.
Kelly Youngblood: Hey, Adam.
Adam Farley: I wanted to follow-up on the backlog again and also supply chain. Really strong backlog numbers. But were there any impacts from supply chain disruptions, maybe any products that customers wanted to be delivered in the third quarter that couldn't, because of disruptions to supply or freight logistics?
Rob Saltiel: Yes, Adam, this is Rob. We've really seen a tailing off of the supply chain issues that we saw earlier this year that really went across multiple product groups. The only area now where we've had some supply chain challenges is really in the gas products area. They're just a limited number of manufacturers of certain of the equipment relating to let's say meters and risers and that sort of thing. But absent that, supply chain issues really haven't been a factor for us. And even within the gas utility space, we can't really identify specific projects that were postponed or delayed that were significant to the performance of MRC Global, due to supply chain issues. We continue to watch the space because there are again a limited number of suppliers in that particular area, but really nothing to report of note on third quarter results related to supply chain challenges.
Adam Farley: Okay. That's good to hear. I did want to ask about your e-commerce strategy. The presentation highlighted about 50% of total orders are now digital. So maybe could you provide some color on how your digital strategy is progressing? And would you expect further digital penetration to address support for margins and maybe better working capital management going forward?
Rob Saltiel: Yes. We continue to invest significantly in our digital strategy and moving more of our commerce to the digital realm. You can see an increasing number of digital orders quarter-over-quarter, year-over-year in terms of what we're providing. And keep in mind, this isn't just a more efficient way for our customers to buy from us or for us to serve those customers. But we also have an opportunity to engage with our customers in a more meaningful way. I mean, when they get on the MRC Go website and they're making purchases through either through the site itself or through the punch out through their own ERP system. We have an opportunity to really engage with the customer around the products and services they're purchasing, the status of those orders and even look more predictably to what they may need going forward and be ahead of that. In addition, as you referenced, some of our digital benefits include the opportunity to centralize inventory. So you have fewer piles of inventory, you can work from and obviously that reduces working capital costs and increases working capital efficiency. So the digital strategy is really one that continues to advance both here in the U.S. and internationally, we've actually added some international sites and we'll continue to add those as we move through the year. So we feel very good about it and it's certainly another benefit of working with MRC Global.
Adam Farley: Okay. Thank you for taking my questions.
Rob Saltiel: You're welcome. Thank you, Adam.
Operator: We have reached the end of our question-and-answer session. I would like to turn the conference back over to Monica for closing remarks.
Monica Broughton: Thank you for joining us today and for your interest in MRC Global. We look forward to having you join us for our fourth quarter conference call in February. Have a great day. Thank you.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time and thank you for your participation.